Operator: Hello and welcome to the Commerzbank AG Conference Call regarding the Third Quarter Results 2024. Please note that this call is being transmitted as well as recorded by audio webcast and will subsequently be made available for replay in the Internet. At this time, all participants have been placed on a listen-only mode. The floor will be open for questions following Bettina Orlopp's presentation. Let me now turn the floor over to our CEO, Bettina Orlopp.
Bettina Orlopp: Good morning and warm welcome to our earnings call for the third quarter 2024. I'm pleased to present our very good Q3 results and share with you our view going forward. Overall, we are delivering ahead of plan and have improved our guidance for the full year 2024. This confirms my positive view on Commerzbank, also in my new role as CEO. When I took over the position as CEO, I discussed and evaluated the recent developments with my management team and our priorities are very clear. First, execution of our Strategy 2027. Every quarter, we have to perform and to deliver towards our targets. Everybody in Commerzbank is absolutely committed to do this. Second, development of an upgraded strategy. We have identified the potential key levers and the teams are in full working mode to refine them. On February 13, we will present the strategy in our recently announced Capital Markets Day. Third, handling the current situation we are in. We have a new shareholder and this has created a lot of attention. Let me emphasize, in everything we do, we do it in the interest of our shareholders and also our clients and our employees. And looking at the nine months figures, I think it's fair to say that we delivered what we promised. Our very good net result of EUR1.9 billion has been reached with a sound performance in all quarters. This translates into a return on tangible equity of 8.8%. Hence, we are on a very good track towards our target of at least 8% for 2024. On capital, we have step-by-step increased our CET1 ratio to the level of 14.8% and at the same time, increased our capital return potential to shareholders. Our next share buyback of EUR600 million will start tomorrow and we have applied for another buyback of up to EUR400 million. This proves our capability to return significant amounts of capital to our shareholders, resulting in attractive distribution yields. Based on this overall very positive financial development, we have increased our targets for 2027 in our regular planning process. As already disclosed in September, we have, in particular, a more positive view on revenues, which drives our return ambition above 12% and our cost/income ratio down to 54% by 2027. Furthermore, we have done a detailed review of our RWA projections. The current forecast for the end of this year has RWA of EUR174 billion compared to EUR177 billion we expected in September. The relief of EUR3 billion not only leads to our increased CET1 ratio expectation of 15% at year-end, but also correspondingly reduces our planned RWA for 2027. This results in a total EUR10 billion relief in 2027 compared to our former planning, consisting of the EUR7 billion that were already part of the update in September and the EUR3 billion identified in the latest forecast for year-end 2024. With this RWA relief and our target CET1 ratio of 13.5%, we can distribute more than 90% in the upcoming years, but at the same time, keeping powder dry for potential acquisitions. We are convinced that this is a very robust case and as said in the beginning, it is our top priority to perform and to deliver on these targets. Talking about delivery. Q3 has been another quarter with good progress in the execution of our strategic measures. We have selected five concrete achievements for the presentation and let me highlight one of them. We are expanding our offerings for ultra-high net-worth individuals and family offices. We have set up a dedicated division and will open two additional locations for this client group. In addition to Berlin, Dusseldorf, Frankfurt and Munich, specialist teams will serve these clients also in Hamburg and Stuttgart. Hence we will address the increasing needs for advisory services. Topics and focus are wealth transferred to the next generation, the right strategic asset allocation and exclusive access to private markets or complex financing structures. This will support our target to grow revenues and in particular, net commission income. While we keep the pace in the execution of our Strategy 2027, we have started the process for a more fundamental upgrade of our strategy. We are convinced that there is significant value potential on top of our current plan and we see three main levers. The first lever is about capital and growth. We can further optimize the deployment of capital and risk-weighted assets. This includes reviews of value creation with each client as well as the use of synthetic risk transfers. Any freed up capital can be invested into capital-accretive growth or will provide additional potential for capital return to shareholders. Second lever is to improve our risk-return profile. Based on our deep understanding of client portfolios in the various sectors and a rock-solid balance sheet, we will review our risk-return profile. Let me be clear, this is not about high-risk lending. It is looking at the risk-return profile and identifying areas that play to our strengths. The review includes credit risk as well as our capital market business and I'm convinced that we can identify additional value potential in an appropriate risk management framework. And with the third lever, we tackle the cost efficiency of our business model and our operations. This will, for sure, include cost measures to further strengthen our cost/income ratio and ultimately our return on tangible equity. As already announced three weeks ago, we are looking forward to presenting the strategy in a Capital Markets Day on February 13, 2025. And now I would like to walk you through the financials of the third quarter in more detail. The operating and net results have further improved compared to the second quarter. Based on higher revenues and well-managed costs, the cost/income ratio reached 58%. This has been achieved even though the risk result is higher, in part driven by the initial booking of collective staging for climate and environmental risks in Stage 2. With the RoTE of 8.7% for the quarter and an unchanged CET1 ratio of 14.8%, I'm very pleased with our consistent delivery towards our targets. I will now go through the revenues in details followed by costs and the risk result. We have maintained revenues on a consistently high level, improving on Q2 and just a bit below Q3 last year. As expected, interest income is slightly lower as the ECB has continued with rate cuts. This could be partially offset by volumes. Lower NII has been further compensated by strongly growing commission income. The negative development of the fair value result compared to last quarter is partly due to FX valuation effect of our US dollar AT1. This fluctuation exists over the lifetime of the instrument and will fully revert when the instrument is called. Other income, excluding FX loan provisions, shows a normalization in Q3, while Q2 was burdened by a Russia-related legal provision. Overall, we are well on track to reach our revenue target of EUR10.9 billion this year. I will now focus on NII and NCI in more detail. Fee income is up 7.6% year-on-year. This is broad-based with all customer segments contributing. Our initiatives and focus on fee business are starting to pay off. Corporate Clients grew fee business, in particular, in transaction banking, lending and FX trading. PSBC maintained the good level reached in Q2. The main drivers compared to last year were a better securities business, both organically and from Aquila. On the next slide, we have the drill down by product. Corporate Clients grew trade finance business, trade finance revenues despite the sluggish German economy, demonstrating the strength of our offering in this area. In capital markets, the highlights were the strong syndication business during the summer months as well as a strong FX business. As mentioned, the main driver in PSBC Germany has been growth in the securities business, including Aquila. The payments business was stable. With global play just started, we see potential in the next quarter. Let's now move to interest income. The NII in PSBC Germany and CC is largely driven by the ECB rate moves and a bit higher, better while volumes have been nearly stable overall. The higher NII in Others & Consolidation is technically driven, especially by day count effect and changes in consolidation items. mBank has again increased interest income by effective management of customer deposits and loan growth. Overall, in the first nine months, NII reached the same level as last year. Looking at volumes, these have been overall stable this quarter. A highlight has been loan growth with Mittelstand customers where we have an upward trajectory despite the challenging economic environment throughout 2024. Thanks to this, Corporate Clients has reached the EUR100 billion mark in their loan volume and clearly has further growth ambitions. Also worth mentioning, our call deposits in PSBC, which grew by EUR1 billion, also we have noticeably reduced rates offered to clients. This brings me to the NII outlook on Slide 13. Interest income has remained at a good level, and we are therefore increasing our outlook to EUR8.2 billion for 2024. Looking into 2025, there is an increased uncertainty around the trajectory of the ECB rates. Forward rate expectations have shown significant [Technical Difficulty]. We assume that overall, that average ECB rates in 2025 will be somewhere in a broad range between 2.1% and 2.8%. In an environment of lower rates, we expect continued moderate growth in deposits and loans, which will bring additional revenues. With a significant portion of our interest-bearing deposits being call deposits where we can adjust pricing dynamically, we think that the deposit beta will be similar to 2024 at around 40%. The replication portfolios will continue to gradually reprice up, adding around EUR200 million NII in 2025. And finally, mBank should see lower NII by EUR200 million to EUR300 million if rate cuts are done as expected. Adding all these effects together, we arrive in a range of EUR7.6 billion to EUR7.9 billion for 2025 NII with the main driver being the ECB rates. And reported interest income cannot be seen in isolation. Due to the way we account for derivatives that hedge banking book positions, there's a partial offset in fair value to changes in NII due to lower rates. In the group account, this is true not only for euros, but also for zloty positions at mBank. We therefore expect a material offset in fair value. Depending on the rates development in the range of 2.1% to 2.8%, the offset is in a corresponding range of EUR200 million to EUR400 million. The net effect is that overall revenues from the loan and deposit businesses should approach the same level in 2025 as in 2024. Given the expected growth in fee income and lower burdens from FX mortgages, total revenues in 2025 should be well ahead of 2024. Looking to 2027, we confirm our targets for NII and total revenues given our planning update in September. Now to costs on Slide 14. Costs continue to be on track as we maintain our strict cost management. Operating expenses ex-mBank are slightly higher than last year. This is primarily due to higher HR-related costs, but also reflect the acquisition of Aquila. The increases were partially offset by active cost management. mBank has further increased operating expenses as a result of business growth, investments and FX effects. This is in line with mBank's cost/income ratio steering. Q4 costs are expected to be higher than Q3 as we will book additional costs related to IT investments and the ongoing growth at mBank. We will also make a final payment to our staff as a compensation for inflation. Overall, we are very well on track to reach our group cost/income ratio target of 60% for 2024. The next slide details the risk result. The risk result came in at EUR255 million. This is in line with our expectations and our guidance of a risk result of less than EUR800 million for 2024. We have decided to already book collective provisions for climate and environment risk in Stage 2. This is forward-looking and not driven by a change in creditworthiness. This and other methodology updates contribute EUR147 million to the risk result. At the same time, we could release EUR 94 million of our top-level adjustment following a reassessment. And subtracting these two effects, the remaining risk result is 202 [Technical Difficulty]. We are having some funny noises, but I hope that you can hear us. So I continue. We continue to see resilience in our customer base and an overall robust portfolio. This concludes the overview of the key line items, and I will now move to the risk, to the results summary. I've already covered the main drivers of the operating result and therefore focus on the net result. This 22%, the tax rate is below the 31% tax rate in the first half of the year. This is due to the processing and settlement of prior year's tax returns. Full year tax rate should be around 30% depending on future developments in Russia and Poland. On the next slide, I will briefly cover the operating segments, starting with Corporate Clients. Overall, revenues in Corporate Clients held up well. This is thanks to growing fees, especially from trade finance, syndication and the FX business, but also the rates and commodities businesses performed well. All three customer groups contributed. All dropped [Technical Difficulty]
Operator: Okay. Dr. Orlopp, we're still able to hear you. Maybe you can continue and I will sort out a backup solution.
Bettina Orlopp: Okay. Very good. So I have to ask, when did I fade away? So when should I restart so in order to make sure that everything is catched. Okay. I would say I start then with Corporate Clients and I hope everything got heard before that. So I'm now on Slide 17 for everybody who hasn't heard me before. Overall, revenues in Corporate Clients held up well. This is thanks to growing fees, especially from trade finance, syndications and the FX business, but also the rates and commodities business performed well. All three customer groups contributed. The risk result was higher this quarter mainly due to the three larger cases already mentioned. It is the main driver for the lower operating result of the quarter. Despite this headwind, the operating return on capital has remained at more than 20% based on a very good cost/income ratio of 44%. PSBC Germany has also maintained revenues. They came in nearly exactly on the level of Q3 last year. Growth in the fee business, including a first full quarter of contributions from Aquila, has been the main driver, compensating lower net interest income. The main driver for the lower operating result has been increased operating expenses. This includes the effect from the first-time consolidation of Aquila. With RWA in almost the same level as last year, this led to an operating return on equity of 33%. On an operating level, mBank has again performed extremely well. The main driver has been better net interest income from the loan and deposit businesses. Also the fee income has increased mainly from the payment business. Despite further burdens from FX loans, the operating return has improved significantly. With mBank making good progress in signing settlement agreements, the number of outstanding court cases could be reduced, and also the inflow of new cases has slowed. So progress is clearly visible. However, we expect a significant burden from FX loans in Q4 that could be similar or slightly lower than in Q3. Looking into 2025, we expect every quarter to have lower provisions than the preceding quarter. Finally, a quick look at Others & Consolidation. Others & Consolidation has a neutral result of EUR21 million in the quarter. Interest income is nearly offset by the fair value result that is burdened by AT1 FX effects. For the fourth quarter, I would again assume a neutral result but, of course, dependent on valuation effects that are hard to predict. This concludes the segmental view. I will now move to the RWA and capital development on the next slide. The CET1 ratio has been maintained at 14.8%, 451 basis points above regulatory requirements. RWA are EUR2 billion lower than the quarter, mainly due to changes in our counterparty risk model following regulatory approval. Underlying volumes have been largely stable. The positive effect from lower RWA has been offset by lower capital due to the cumulative effects of several positions that all happened to move in the same direction this quarter. We have again not included any benefit from our net result and capital. We intend to include the net result after AT1 coupons and distribution to shareholders in our CET1 ratio at year-end. And this should lead to a CET1 ratio of around 15%. This brings me to our outlook for capital distribution for 2024. As already disclosed, we have received the approval for the EUR600 million share buyback, which is scheduled to start tomorrow. We've also applied for the second tranche of up to EUR400 million. We hope to receive the approval early next year. We remain committed to our payout target of at least 70% as set out in our capital return policy and continue to target a total capital return of EUR1.6 billion, with the remainder distributed as dividend. And now to our outlook for 2024. We could raise several targets based on the good results in the first nine months of this year. We expect total revenues of EUR10.9 billion based on our improved outlook for NII that will come in at around EUR8.2 billion and more than 5% growth in fee income. We stick to our target of a cost/income ratio of 60% and a return on tangible equity of at least 8%. We continue to expect a risk result of less than EUR800 million. We have raised our outlook for the CET1 ratio to 15%. Our outlook for the net result is around EUR2.4 billion. And now to conclude with our agenda for the future of Commerzbank. As already said at the beginning, we are fully focused and committed to deliver what we have promised with our current strategy, and we now aim to accelerate the execution further to reach our goals even faster. In parallel, we have started to work on a more fundamentally upgraded strategy that will go beyond the target set in Strategy 2027. We will present the strategy to you in February. We are fully committed to continue delivering increasing and sustainable shareholder returns for our investors and that is and will be the cornerstone of our strategy. Thank you very much for your attention and I'm now looking forward to taking your questions.
Operator: [Operator Instructions] And the first question comes from Benjamin Goy, Deutsche Bank. Please go ahead.
Benjamin Goy: Yes, hi, good morning. Three questions, if I may. So first, on net interest income, a very precise guidance on deposit beta. Thank you for that. Just trying to better understand the trajectory into 2025. Is there -- should initially be a bit more difficult to pass on rate hikes and then as clients get used to lower rate it's easy or do you expect a fairly gradual progression and how this fits with the implied Q4 net interest income, which would imply a more significant drop in the fourth quarter? And secondly, another significant increase in Stage 2. Just wondering why now on the climate risk. And then the third point, an update on the mark-to-market of your assets and liabilities as of Q3 will be helpful. I think EUR11.6 billion was the number as of half year. Thanks very much.
Bettina Orlopp: Very well, Benjamin. Thank you very much for your question. So on NII, yes, I mean what we do currently, and you see that basically that we have a gradual adjustment of our core money offering as we speak. We do that at a different pace for comdirect and Commerzbank brand, but we do that, and that's also why we keep now the deposit beta pretty much stable despite the interest rate cuts, which we have seen. And I think for 2025, I just want to stress again how important it is to always look NII and fair value in combination. And I think actually, you all got it pretty much right. If I look on the consensus, if you combine there for 2025, the NII and the fair value, it fits very much to what we think is a good number for 2025. On to your question related to the collective staging for climate risk. I mean if you follow up also interviews with regulators, et cetera, you see that the special risk are very important for them. They have been half of the banks who have already booked kind of overlays, so TLAs, on that. And sorry, we just had a little disaster here, water. So what we did is we thought about booking a top-level adjustment for that or put it in collective staging, and the expectation of regulator is clearly to put it in collective staging. And we did that already a little bit earlier than the rest. I'm pretty sure that the rest will follow in the first quarter 2025. And the third one, I'm not sure that I understood your question. What did you mean with what's on the asset and liability side?
Benjamin Goy: The mark-to-market of your asset and liabilities, so fair value versus amortized cost. I think it was EUR11.6 billion, the delta as of Q2. I'm just wondering an update with change in interest rates.
Bettina Orlopp: I think it's nothing, what is part of our disclosure on Q3, but we can get back to you later on. But I'm pretty sure we only disclose that again by year-end, but let's us double-check that.
Benjamin Goy: Okay, thank you.
Operator: The next question comes from Kian Abouhossein, JPMorgan. Please go ahead.
Kian Abouhossein: Yes. I wanted to just come back to NII, and I wanted to just see, first of all, is there any change in NII guidance, hypothetically, if we move below 2%? I see your range that you give on the interest rate outlook. But just wondering, is there any change? Or can we see sensitivities that you give us, which are also relevant for below 2% level? Or is there some kind of increased dynamic in that sense? Just trying to understand a little bit the dynamic on NII. And in that context, just to come back to the net fair value result. Is there a component that in your guidance that you give '25-'27, which is mark-to-market and is not repeatable versus recurring. So basically, your visibility in respect to the net fair value. And lastly, on provisions. Clearly, we have seen an ongoing deterioration even if it's just single cases at this point. Do you feel that there's more of a trend considering the economic environment difficulties that we see and expect for next year as well, thanks, in Germany?
Bettina Orlopp: Sure. So I mean, on NII, yes, I think you can use the sensitivity. Also, I have to say I think the range of 2.1% to 2.8% should definitely cover next year. I mean profit rates are a little bit unreliable in the moment to say it like that. I think there are swings in 20 bps up and down, which we have seen over the last weeks. But I feel pretty comfortable that with the 2.1% to 2.8% for next year, we have gathered it quite nicely or catched it. On the risk result, with respect to the ongoing deterioration trend, I mean, what you see in Germany, and it's not a surprise. And we said that for now several quarters that there was clearly the expectation that default rates would go up because for quite a long time, they were below the level which we knew before COVID because they were always a little bit held down because of government support measures and stuff like that. And we always said that at a certain point in time, they should normalize, and that's what happened now. I think still that corporates proved to be very resilient. But we also said that we will always now see some single cases coming up. We don't see really sectors that are moving jointly in the wrong direction. It's really single cases. And, yes, we also expect this to be continued in 2025 because apparently also the outlook for 2025 is not too optimistic with a 0.2% growth in GDP, one should not expect too much. And this is also why we believe that risk result will be in a similar level for next year, 2025, as it is for this year. That's for sure. And on the net fair value results, I'm not sure that I got that. I mean we have clearly a planning. And for '25, I think if you take our additional fair value, the EUR200 million to EUR400 million, that's also a good guess for the fair value. And that should probably dependent on where we are then with respect to the interest rate level in 2025. This should go further up in the years to come and this is also how we guided that back in September.
Kian Abouhossein: Thank you.
Operator: The next question comes from Tobias Lukesch, Kepler Cheuvreux. Please go ahead.
Tobias Lukesch: Yes, good morning, also three questions from my side, please. Quickly touching on customers and the capital management and capital distribution. On the customers, I mean, following the UniCredit approach and now your accelerated efforts in capital efficiency management, what changes should customers expect in the business relation with you? And potentially, have you already experienced some changed behavior or even difficulties with some customers? Secondly, on capital management, you mentioned the significant risk transfers basically in getting RWAs down. To what extent should we expect that to accelerate in the coming quarters? Is there a kind of 12-month horizon you can already indicate? And on the capital distribution, you just basically confirmed the EUR400 million share buyback. I mean given all the capital you recently set free and you're supposed to set free and the huge excess capital you're basically having, I was just wondering why you did not basically maybe a shift from the earlier idea or agreement with the ECB of doing a EUR1 billion share buyback and maybe increasing that like maybe going for another EUR600 million already? I understand that you go for the EUR1.6 billion in cumulative payout, so that's the kind of EUR600 million dividend we can expect. But going forward, I mean, what is the potential acceleration we can expect on the share buyback in particular and potentially also in a bit of an up-speed of dividend growth? Thank you.
Bettina Orlopp: Thank you, Tobias. First on customers, I think it's important to note that nothing has changed in our relationships to clients. We are at the side of our clients and we intend to stay there and to support our clients in good and in difficult times. That's what Commerzbank stands for, and that has not changed. And I think also clients made it very clear that this is very important for them that we, as Commerzbank, stand at their side specifically when they perceive us as their key bank. So also, whatever we think about RWA efficiency, it's more about thinking on how to do business, with whom to do business, but it doesn't change anything in our value proposition. With respect to capital management and risk transfers, I mean, what we see in next year is clearly the Basel effect. And otherwise, that one is very much also mitigated by certain model releases, et cetera, which we see. So the growth, which we will see in the upcoming years will most likely stem from -- the majority will stem from one, a little bit of an increase in operational risk because our revenues will go up. And the other thing is growth in our core businesses, and that should be the driver of our RWA in the future. And however, we will look into our RWA growth anyhow to see whether we can even reduce that further and increase RWA efficiency further. That is one of the key levers in the strategy we are currently analyzing and which we will present in February. On the third thing, I know I would have expected this question. Couldn't we do more? And apparently, with a 15% outlook, you could argue why don't you go beyond what we have promised? But we have very clear agreements with our regulatory authorities. We said we would take it on a gradual step-by-step approach. Just to remember, we started with a 30% payout, then a 50% payout. We then said we would go beyond 70%. I think we are on a very well -- very good track. And if you look on what we have communicated already end of September and now reiterated, it's possible to go beyond 90% capital return in the years to come and still leave room for growth and acquisitions and investments but provide a very decent, I think, capital return to our shareholders.
Tobias Lukesch: Thank you, Bettina.
Operator: The next question then comes from Borja Ramirez, Citi. Please go ahead.
Borja Ramirez: Hello. Good morning. Thank you very much for your time and for taking my questions. I have two. The first is, if you could kindly remind me of the moving parts in the NII to 2025. And then my second question would be on the rate sensitivity. So it's now lower at, so every 10 bps lower rates is EUR30 million lower NII. That's below what was before EUR45 million. I understand it's potentially linked to higher deposit migration. I would like to ask because there is a partial offset from your net fair value result, which I think in my, so I would like to ask what is your revenue sensitivity to 10 bps lower rates, including both NII, which you have disclosed, but also the net fair value result. Because in my view, I think that your rate sensitivity is actually slightly offset by the net fair value result. So if you could please provide some details. Thank you.
Bettina Orlopp: Very well. So the moving parts on NII. If you take the EUR8.2 billion as a starting point, then you can assume that you have around EUR100 million increase NII for next year because of volume growth in lending specifically, but also a little bit on deposits. You then have a EUR200 million plus out of the replication portfolio and that brings you to EUR8.5 billion next year. Then you currently have rate cuts, which are dependent on whether you take the 2.1% or 2.8% go up to EUR500 million approximately, then you lose, still a little bit might lose on the deposit beta, but that's very limited because we think it's very mildly increasing only, if at all. And then you have another EUR300 million because of rate cuts in Poland at mBank. And that would bring you and that's the maximum to the EUR7.6 billion. And, yes, you are right, sensitivity is a little bit lower, but that has to do with the increased deposit beta, which apparently also then increase -- decreases the sensitivity on that. And with respect to the relationship between fair value and NII, it is indeed proportionally. I think in earlier calls, we always said something around 70% to 80% is the relationship between the NII and the fair value.
Borja Ramirez: Thank you. If I could quickly ask on this point. So if I were to assume 10 bps lower interest rates, what could be the positive impact in the net fair value result, please?
Bettina Orlopp: I mean if you have a, if you take that, it's basically something, if you have EUR30 million NII, then it's probably something around EUR20 million, EUR24 million in fair value, I would say, as a guess. Positive effect.
Borja Ramirez: Very clear. Thank you very much.
Operator: The next question then comes from Jeremy Sigee, BNP Paribas Exane. Please go ahead.
Jeremy Sigee: Good morning. Thank you. Two questions, both relating to RWA efficiency. The first one is, you've done quite a lot in quite a short period of time here, the EUR7 billion and now the extra EUR3 billion. Is that something -- is that a process that continues as we go forward? Do you expect to do more SRTs, more actions to bring down that 2027 RWA expectation further? And then secondly, I wanted to think about how you think about the benefit of that really, because if you're capped at 90% to 100% payout and you're kind of expecting to do that already, what will you do with extra capital that you released through SRTs or other RWA efficiencies?
Bettina Orlopp: Yes. Yes, brilliant. Actually, I have foreseen exactly this question because I said if we continue this pace, that would be brilliant with respect to the reduction, but that's not the case. So the EUR7 billion really stems from our planning process over the summer where we really looked into the different things, where we also got some commentary back also from the regulator with respect to some model changes and stuff like that. So we just learned to be a little bit smarter and we're able to take out some buffer we indeed had in our RWA planning. And EUR3 billion is something which has a lot to do with our forecasting for year-end, where we again saw how things are developing also with respect to some model buffers and stuff like that. And that is something which is then has a positive impact, not only for this year but for the years to come. And I would say that benefits are always there because if you increase RWA efficiency and you free up capital, you have the flexibility to do everything. You can do capital return. And, yes, in the moment, we are a little bit limited to be up to 100%. But luckily, there are always also growth opportunities, organic ones and inorganic ones, and we look into that. And I think the good thing is, and this is why we would always continue that, it gives us a lot of flexibility and freedom. And otherwise, you always have also the opportunity to go back to your regulator and discuss. If you have so much surplus capital and you have a brilliant profitability, I'm pretty sure they are also open for talks.
Jeremy Sigee: Great, thank you very much.
Operator: Next question comes from Mate Nemes, UBS. Please go ahead.
Mate Nemes: Yes. Good morning and thank you for the presentation. A couple of questions, please. The first one would be on provisioning. You flagged the climate risk-related methodology changes that seemingly you booked early or perhaps earlier than some sector peers. Do you foresee any other further methodology changes to come in the next few quarters? Or this should be largely done and from here onwards, we can focus mainly on the underlying asset quality? That's the first question. The second question would be on the core businesses and growth in the core businesses. You mentioned that in '25, you expect about EUR100 million positive NII impact from growth in those core businesses. I'm just wondering what confidence do you have vis-a-vis the growth in PSBC Germany or the Corporate Client business given the relatively muted GDP growth expectations, limited investments in the corporate sector and also very high savings rates in the household?
Bettina Orlopp: Very well. So on the provisioning side, I mean, I can never foresee that there's not anything coming up from the regulatory, which is new, but we don't see anything on the horizon. So we feel pretty much unprepared for that. And we think we have done a number of things, but I can never exclude that, as you all know, because we never know what might be at the horizon. But for the time being, we feel well prepared. And on the second point on the growth in core business, I think we have proven that also this year. If you look at our numbers and also specifically when you look at the numbers for Mittelstand where we have now grown in the second quarter in a row, we see growth. It's unfortunately not necessarily happening in Germany, one has to say. So also the Mittelstand clients are not necessarily investing in Germany, but rather abroad. And also on the private client side, we see activity. I mean the mortgage business has improved. It has not returned to the levels which we have seen a couple of years ago, but it has recovered and one should also expect that if interest rates are really decreasing, for example, to the 2.1%, then the appetite also from private clients to do more with respect to mortgage will be there. And therefore, we feel well prepared. And our outlook for 2025 is clearly connected to the expectation of our economic department that we will only see the 0.2% growth for Germany.
Operator: Okay. So as the line has seemed to drop out, I would proceed to the next question here, that is Riccardo Rovere from Mediobanca. Please go ahead.
Riccardo Rovere: Thanks and good morning everybody. Thanks for taking my questions. Two or three, if I may. The first one is on NII. If you take the EUR8.2 billion for the full year, Bettina, it means that Q4 should be anywhere in the region of 195 or something like that. Now since the start of the year, we are basically systematically surprised. I mean you have always given guidance and then the numbers came out a bit better than the guidance. Now considering all the amount of call deposits that you have and considering this stuff seems to be related to, driven by market rates, why should you not be in a position to cut the cost of the deposits considering that also Poland should not cut rates or nothing major between here and the end of the year? So why is there any kind any sort of prudence in this EUR8.2 billion. And that obviously would also be reflected on 2025. The second question I have is on the 15% internal capital target. Why? Why upping it up? I mean European banks are supervised by the ECB, do not use generally 15%. This number is actually closer to a Nordic bank than the average European bank. So why at the end of the year upping this up to 15%? Because this, at the end of the day, you are slashing RWA. But if you up the capital target, I'm not saying it's a zero-sum game, I don't know, to be honest, but it certainly doesn't help. And the very last thing I wanted to ask you is in Slide 2 or 3, you mentioned handling current situation. What are you referring to? Is there anything you can share with us on that, on the meaning of that sentence, of that bullet points on your slide? Thank you.
Bettina Orlopp: Thank you, Riccardo. So on NII, I mean, I would say, let me phrase it like that, it's a very good EUR8.2 billion from our current expectations. I mean it implies one further rate cut for this year. And I mean, you see already that we are adjusting. As I said at the beginning, we are adjusting our offerings to clients, but we always have a time effect in there. So given that, specifically the benefits out of the replication portfolio, et cetera, rather kick in more than also next year, that is nothing you can just short-term balance out. And this is why we think that NII will be, again, somewhat lower in Q4 than in Q3. But it also clearly depends on the question what happens to the volumes? And we also assume that there will be still some shifts from volumes from the deposits into securities. Let's see whether this happens or not, but that's part of the story and it's a good EUR8.2 billion, let me phrase it like that. On your second question, we haven't changed our CET1 ratio target, to be very clear. That's still the 13.5%, which is basically coming from our MDA, then putting some buffers in, some room to maneuver also for some acquisitions and stuff like that. The 15% is just our actual target ratio we expect to end up with despite all our capital return, given that we deliver a very decent profit already this year with the EUR2.4 billion, and we will not distribute everything to our to our shareholders. That means that capital will increase by year-end. And with the RWA forecast, we will end with the 15%. But our target stays unchanged, that we want to go down to the 13.5% and return the surplus capital to our shareholders. And the third thing is handling current situation is indeed related to our new shareholder situation because it requires some attention, as you might imagine, to be prepared. But I have to say that in the moment, we are really focusing on our execution of our own stand-alone strategy because there's nothing on the table. We have not received any offer, and the one talk which we had so far, more longer one, has been a pure investor talk. So therefore, we really are focused on the execution of our own strategy and our value creation, which I think makes a lot of sense.
Riccardo Rovere: Thanks. Thank you very much for that. On the capital side, just to be sure I understood it. So 15% is more or less the number you expect to achieve at year-end 2024 given your profitability, underlying profitability that you think you're going to have in 2024 and all the risk-weighted asset actions that you will be putting in place between here and the end of the year. Do I get it right?
Bettina Orlopp: Yes. It's basically the forecasted CET1 ratio for year-end. And this one will be then the basis for further capital return to get it down to 13.5% as we planned for the years up to 2027, exactly that.
Riccardo Rovere: So it's like saying that based on the kind of 70% payout in total, more or less, underlying profitability and maybe better RWA optimization do not allow you anymore to get to 14%, it's going to be 15%?
Bettina Orlopp: Yes. I mean it's basically, it will be 15%. You could say positively, we are earning too much money and we can't return enough.
Riccardo Rovere: Exactly, exactly. This is exactly what I meant. Okay. Exactly. Okay, thanks. Thanks for being sincere. Thanks.
Operator: The next question comes from Krishnendra Dubey, Barclays. Please go ahead.
Krishnendra Dubey: Thanks for taking my question. I just have a couple of questions, I think. One is on the fees. You're guiding, I think, you're guiding to more than 5%. So should I assume it is kind of assuming the 5.5% CAGR that you're looking at? And a part of question is, I think as inflation is coming down, do you see some of the payment or other services could have an impact from the -- on the fees side? And what are the offsets that you have? And the second question is on the litigation, the FX litigation. I think you have said the 2025 revenues will be well ahead of 2025. But what should be, I think, is there any guide that you have can be used for 2025 FX litigation? And plus there are a few noises around not just CHF but euro. So are you concerned on the euro litigation in Poland? Thank you.
Bettina Orlopp: So on fee, yes, I think the 5% is the new 4%. So it's basically we now think that we, year-on-year, see a CAGR of 5% in the net commission income also based on the very good results, which we have achieved this year. And we think that this will also not be negatively impacted if inflation comes down. So that should continue up to 2027, and that also is one of the key drivers also for improved revenue guidance until 2027. On the FX litigation side, I mean, it includes all our guidance now and not only include the Swiss franc mortgages, but also euro and US dollar mortgages, et cetera. So this is why we phrase it as FX provisioning because it includes all currencies. And we think that we will see, as I said, probably in the fourth quarter, still a decent booking because of the settlement progress, which we apparently do. In 2025, it should be less. How much it might be, we simply can't say. I think what the mBank management team said is that it will be lower. The provisioning will be lower quarter-by-quarter. So it should be significantly lower than this year. And you see it also when you look in the appendix, there is again this chart on the FX provisions. And I think what is really good news is that for the first time, we see a quarter where the number of outstanding court procedures is decreasing. So we have less new court proceeding in comparison to the settlements we are able to do. And the management team is very committed to continue the settlements with clients. So I hope that in 2026, we will not even talk about this issue anymore.
Krishnendra Dubey: Sure. Thanks. I just have a small follow-up. I think it's a yes or no question, I think it's just on the cost. I think you guided to 5% cost given revenues are slightly better. I think 5% still holds, so there is a chance to have some maneuver around like some increased costs like it would remain at a 5% growth in 2025?
Bettina Orlopp: Yes. I mean we have -- when you look in the updated -- we have this guidance out there after Q2, but we also updated that a little bit end of September. So I mean, we now target for next year a cost/income ratio of 58%. And that also means that we try to get the cost increase further down. There will be clearly a cost increase because of the different effects we have talked about. But it should be probably less explicit than we originally thought back in August.
Krishnendra Dubey: Sure. Thanks a lot.
Operator: The next question comes from Anke Reingen, RBC.
Anke Reingen: Yeah, thank you very much. I just had one small question on your cost of risk comment about 2025 at a similar level to 2024. Are you talking here about the reported 2024 level? Because I guess, that would benefit from the top level adjustments. Or is it ex the top-level adjustments? Thank you very much.
Bettina Orlopp: I mean what we said is the similar guidance would be just simply something less than the EUR800 million, same guidance as this year. And if you look on what we have done with the top level adjustment so far this year, the releases basically have been exchanged into -- and I know this is very untechnical, but into buffers in the -- due to collective staging into Stage 2. So therefore, yes, you can keep the top level adjustment aside to that.
Anke Reingen: Okay, thank you.
Operator: The next question comes from Chris Hallam, Goldman Sachs. Please go ahead.
Chris Hallam: Yeah, good morning, everybody. Just two left for me. So first one, if we were to see tariffs imposed on European exports, how would that impact your Corporate Clients in terms of loan demand and credit costs? And then second, to follow-up to Kian's earlier question. Is the NII sensitivity to changes in rates linear if we move below 2%? I think you said that the range of 2.1% to 2.8% covers you for next year. But in the eventuality that the outcome is lower, does that range -- than that range, should we assume the same sensitivity as you've already provided? Thank you.
Bettina Orlopp: Yes. Thanks, Chris. I mean on tariffs, I mean, the question is really what will be now really the outcome? As we all know, most of the times, there is still first some talks about it. And I mean, we have to take it when it comes. I think it's important to say that nobody is really expecting tariffs before mid of next year adjusted once and then hopefully, they will not be as bad as some currently project them, but that's the thing. My understanding from our corporate clients is that they are preparing for that. You also have, as a matter of fact, you clearly will have also an impact on, for example, US dollar exchange rate and that might benefit then exports again out of Europe. So it's very -- it's probably too early to tell. And we, however, feel comfortable with our guidance of 0.2% GDP growth for next year. It will be then, I think, more important to see how it develops after 2025. And I think our expectation is that Europe is talking to the US because at the end, we all know that tariffs never has done anything good for both parties involved into such a -- in such a play. On NII sensitivity, I mean, it's probably similar. I mean one should not forget that we clearly would also adjust quite significantly -- would have to adjust quite significantly the offers out there for our clients with respect to call and term money. So it's all -- as we know, it's also something which stands in relation to the deposit beta, we would have if we would really go below 2% interest rate level.
Chris Hallam: Okay, thank you very much.
Operator: So with this Q&A session now comes to an end. And I'd like to hand it back to Bettina Orlopp for some closing remarks.
Bettina Orlopp: Yes. Thank you very much for your question, for your attention. It has been an interesting call with a number of little outages and a little water flooding here of our papers. But at the very end, we managed. I'm looking forward to talking to you probably also within the next days. And otherwise, for the time being, I wish you a great day. Thank you very much.